Operator: Welcome to the Manpower First Quarter Earnings Conference Call. All participants have been placed on a listen-only mode until the question-and-answer session. (Operator Instructions) I would now like to turn the call over to Jeff Joerres. You may begin.
Jeff Joerres - Chairman: Good morning, and welcome to the first quarter 2014 conference call. With me is our Chief Financial Officer, Mike Van Handel as well as our President and soon to be CEO, Jonas Prising. I will go through the high-level results for the quarter. Mike will spend some time going through the details of the segments as well as any forward-looking items for the second quarter and any implications to the balance sheet and cash flow. Jonas will then add some color to some of the major geographies as well as initiatives that we have and we will also talk about some of the most recent legislative trends. Before moving into the call, I would like to have Mike read the Safe Harbor language.
Mike Van Handel - Chief Financial Officer: Good morning, everyone. This conference call includes forward-looking statements, which are subject to known and unknown risks and uncertainties. These statements are based on management’s current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements can be found in the company’s Annual Report on Form 10-K and in the other Securities and Exchange Commission filings of the company, which information is incorporated herein by reference. Any forward-looking statement in today’s call speaks only as of the date at which it is made and we assume no obligation to update or revise any forward-looking statements. During our call today, we will reference certain non-GAAP financial measures, which we believe provide useful information for investors. We include a reconciliation of those measures, where appropriate, to GAAP on the Investor Relations section of our website at manpowergroup.com.
Jeff Joerres - Chairman: Thanks Mike. The first quarter was a very successful quarter for us. We were able to create more momentum on the revenue side and also continue very strong flow through from an operational leverage perspective. On our last call, we spoke about a bit of a revenue hesitation that we are experiencing in January as it started off quite soft. As you can see from our growth rate of 3% in U.S. dollars and constant currency, we were able to make up much of that ground in February and March. As we stated in the call, the slow start to January did not match what we were hearing from our clients as well as our team in the field, which is what gave us confidence in our outlook for the first quarter. We remained selective in our revenue throughout the first quarter as been our field operations. Revenue of $4.9 billion in the first quarter is up $135 million from 2013. This additional revenue as I said earlier had strong flow through which allowed us to exceed our profit expectations, our continued price discipline and the continued benefit of the work that we did in 2013 in the recalibration and simplification of the business delivered strong operating leverage to the bottom line. Our operating profit was up 43% before 2013, restructuring costs of $127 million giving us an operating profit margin of 2.6%, a 70 basis point gain on a year-on-year basis. We had very nice performances given the typical seasonal weaknesses that we would see in the first quarter. As you can see, the work that we have done in the past is clearly paying off as we move into 2014. We will continue to focus on revenue and spend some time today giving you a deeper view of the countries from a revenue perspective. We will continue, however, to focus on good profitable revenue as we are in an important time and when we don’t want to give up all the work that we have done to try to move and improve on our gross profit. Our earnings per share of $0.86 is 38% above 2013 in constant currency before prior year restructuring charges showing the very positive execution that we had in the first quarter. As we move into the second quarter, we are seeing improving revenue in many of the major geographies that we operate in. With that, I would like to turn it over to Mike.
Mike Van Handel - Chief Financial Officer: As Jeff mentioned, earnings per share for the quarter were $0.86 per share, quite a bit stronger than our guidance range of $0.62 to $0.70 per share. When we dissect the reasons for this outperformance relative to the midpoint of our guidance it primarily relates to strong operational performance which added $0.16. We had a slightly lower income tax rate adding $0.05 per share. This was offset by a negative currency impact of $0.01 per share compared to our forecasted negligible impact. The operational outperformance relative to expectations was primarily revenue driven as revenue growth came in at 3% in constant currency compared to our guidance midpoint of 1%. We did get some help from having more billing days this year compared to last year in some countries. This added about 1% to our growth rate in the quarter. That is to say on an average daily basis first quarter revenue growth came in at 2%, an improvement from the 1% growth we saw in the fourth quarter of last year. Revenues exceeded or were at the high end of our guidance range for all operating segments with the exception of Right Management. The incremental gross profit from this additional revenue growth dropped to the bottom line as SG&A expenses remained well controlled under our recalibration and simplification plan. As we discussed the recalibration and simplification plan in 2013 was a big success and we expect to continue to realize the efficiency benefits as we make our way through 2014. While we continue to work on optimizing our delivery channels, a significant amount of cost recalibration actions were taken in 2013 and therefore there are no restructuring charges in the first quarter of 2014. As you assess our results for the current year, keep in mind that our first quarter results in 2013 included a pretax restructuring charge of $34.8 million of which $5.9 million was in the Americas, $1.2 million in Southern Europe, $17.1 million in Northern Europe, $2.4 million in Asia-Pacific, Middle East, $3.8 million at Right Management and $4.4 million at corporate. The gross profit margin for the quarter came in at 16.7% just a tick above the high end of our guidance range. With an intense focus on price discipline, our gross margin was favorably impacted by 20 basis points from Manpower staffing and 10 basis points from permanent recruitment. Our permanent recruitment growth accelerated in the quarter to 9% in constant currency after a decline of 7% in the fourth quarter of last year. We saw growth across all of our permanent recruitment offerings with the strongest growth in our market leading global RPO offering posted 20%. Our Experis interim gross margin was stable in the quarter with gains in the Americans and Asia-Pacific and Middle East being offset by declines in Southern Europe. Our talent based solutions business negatively impacted overall gross margins by 10 basis points primarily as a result of severance costs we incurred on an early contract termination. Looking at gross profit by business line, our Manpower gross profit which represents two-thirds of the total was up 4% in constant currency similar to the fourth quarter. Within Manpower we saw double digit growth in our industrial vertical which is a good indicator that economies are gaining some traction. Our Experis business comprised 18% of total gross profit and consistent with approximately 70% of IT skills, 10% engineering skills, 10% finance skills and 10% other professional skills. Growth in Experis gross profit grew nicely in the quarter of 5% in constant currency following the 4% decline in the fourth quarter of last year. This growth was driven by Experis interim gross profit which is up 2% in constant currency driven by growth in Northern Europe and the Americas. Experis permanent recruitment also grew nicely, up 12% in constant currency driven by growth in Southern and Northern Europe as well as Asia-Pacific and Middle East. Our ManpowerGroup Solutions business represents 10% of total gross profit and includes recruitment process outsourcing, MSP, talent based outsourcing, borderless talent solutions, strategic workforce consulting and language solutions. Our ManpowerGroup Solutions business produced good growth in the quarter of 6% following the decline of 8% in the fourth quarter of last year. This growth was primarily driven by our RPO and MSP solutions which are resonating very well with clients as they adapt to more sophisticated workforce models. Our Right Management business comprised 6% of total gross margin and was down 5% in the quarter. I will comment on Right Management in my segment review. Our SG&A expense for the quarter came in at $690 million, a decline of $11 million or 1.4% in constant currency excluding the restructuring costs from the prior year. We were able to reduce SG&A in the quarter despite the 4% increase in gross profit as a result of strong expense controls combined with the impact of cost recalibration actions taken in the prior year. This improved our SG&A efficiency as a percentage of revenue from 14.7% to 14.1%. This inherent operating leverage is an important part of our objectives with last year’s recalibration plan Now, let’s turn to the operating performance of our segments. Revenue in the Americas came in at $1.1 billion, a reported U.S. dollar decline of 2%, but an increase in constant currency of 2.6%, which is at the higher end of our guidance range. On average daily basis, the Americas revenue grew by 0.6%. Operating profit performance in the quarter was very strong with OUP increasing 26% in constant currency, excluding prior year restructuring charges to $26 million. OUP margins expanded by 40 basis points to 2.4%. Within the Americas, the staffing gross margin was up slightly driven by a margin expansion in Experis and permanent recruitment fees were up 6.4% in constant currency. SG&A expenses were well-controlled and down in prior year, which resulted in the strong operating leverage and OUP margin expansion. Turning to the U.S. market, which represents two-thirds of segment revenues, our revenues came in on forecasted $721 million despite the severe weather conditions. This is an increase of 2.1% on reported revenues and flat revenues on an average daily basis. As you would expect the weather particularly in the Northeast and South impacted demand for our services in the quarter. We estimate this weather impact to be approximately 1% of total U.S. revenues in the quarter. Our OUP in the quarter increased to $13.4 million or 34% excluding prior year restructuring. This resulted in strong OUP margin expansion of 50 basis points to 1.9%. Our U.S. gross margin was down slightly compared to the prior year as a result of a modest decline in Manpower Staffing gross margins partially offset by improvement in Experis interim gross margins. SG&A costs were well below the prior year given the impact of the 2013 recalibration actions, which aided in strong operating leverage. Turning to our brands in the U.S., the Manpower brand represents 55% of revenue. Manpower’s revenues were up 3% in the quarter and 2% on an average daily basis. As I mentioned earlier, weather impacted growth in the quarter and impacted the Manpower brand by more than 1.5%. Consistent with last quarter, we saw good growth in the SMB market and our national accounts, both of which grew in the mid single-digits. This was offset by declines in our large global accounts, primarily resulting from our own pricing decisions. Our Experis business represents 37% of U.S. revenues and was down 3% from the prior year. Within Experis, we have seen modest growth in our finance and engineering verticals. However, this was offset by a 2% decline in IT revenue. Experis gross margin continues to benefit from trading out lower margin business for higher margin business as interim gross margins improved during the quarter. Our ManpowerGroup Solutions business represents 8% of U.S. revenues. Our U.S. solutions business had an exceptional quarter with revenues up 25% and business line contribution up 43%. This was driven by very solid growth in both the MSP and RPO solutions business. Turning to other countries within the Americas segment, revenue growth in Mexico remains stubborn, up less than 1%. Demand in Mexico remains soft. Revenue trends have been slowly improving and we have landed some good sales opportunities, which have helped to offset some of the declines in a few of our larger multinational accounts. Argentina’s revenue growth of 12% continues to be driven by inflation as billable hours were down 6% in the quarter. Our team in Argentina has done a good job managing profitability in an extremely difficult economic environment. Growth of the other countries in the Americas segment improved 3% in constant currency with good growth coming from Brazil, up 15% and Colombia up 10%. Revenue in Southern Europe came in at $1.7 billion, an increase of 3.8% in constant currency or 3.3% on an average daily basis. This exceeded the high end of our revenue guidance range due to better-than-expected revenue growth in France, Italy and Spain. OUP came in at $68 million, an increase of 46% in constant currency, excluding prior year restructuring charges. OUP margin expansion was very strong, up 110 basis points to 4%. The primary drivers of the profit performance was an expansion of the staffing gross margin and strong operational leveraging resulting from stable SG&A costs. Another positive in the quarter was a return to growth in permanent recruitment fees, which were up 2% in constant currency, following a decline of 7% in the fourth quarter of last year. I will discuss these elements further in my specific country discussion, which follows. Let’s start with the French market, which represents 71% of Southern Europe revenues and 25% of company revenues. French revenues came in at $1.2 billion, an increase of 2.3% in constant currency. On an average daily basis French revenues were up 2.1% in the quarter, a very slight improvement from the fourth quarter of last year. Many of you will recall that in last quarter’s call I indicated the French market started the year off quite slow, but we expected it to get back on track given the tone of the market and discussions with our clients. This in fact did occur as we saw improving trends in average daily revenues throughout the quarter. We believe our growth in the quarter slightly exceeds the overall market and this is mostly driven by strong execution on the smaller SMB accounts. OUP in France was $51 million, an increase of 65% in constant currency. This resulted in an OUP margin of 4.2% an expansion of 160 basis points. This margin expansion was driven by an improving staffing gross margin as well as strong SG&A leverage. Our staffing gross margin improvement was a result of strong price discipline and focus on differentiating our high quality services. Additionally our direct cost was lower due to the enhanced CICE payroll tax credits. Revenue in Italy improved 2% in constant currency to $275 million. On an average daily basis Italy revenue was up just over 4%. Well the Italian market continues to be difficult, we’ve seen some improvement in demand as clients are opting for flexible labor solutions. The modest growth in the market we are seeing some pricing pressure and as a result we’re carefully balancing growth with profitability. During the quarter we’re able to effectively manage gross margin and SG&A cost control resulting in OUP of $12.6 million and an OUP margin of 4.6%. Revenues in Spain were up 32% in constant currency or 23% on an organic basis. Our management team in Spain had done an excellent job identifying quality revenue opportunities and delivering profit growth to the bottom line. Revenue in Northern Europe well exceeded our forecast coming in at $1.5 billion, an increase of 4.6% in constant currency. It is evident that many of the markets in Northern Europe are coming out of hibernation with average daily sales growth in the quarter of 3.3% representing the third consecutive quarter of improving revenue trends. OUP in Northern Europe was $38 million or an increase of 37% in constant currency when excluding the prior year restructuring items. This resulted in an OUP margin of 2.6% up 60 basis points from the prior year. Our gross margin was down slightly in Northern Europe primarily as a result of business mix changes within Manpower staffing and modest pricing pressures. Our permanent recruitment business showed good traction in the quarter turning positive on a year-on-year basis with growth in the UK, Germany, and the Netherlands. Our SG&A costs were well controlled and below the prior year benefitting from the recalibration actions we took last year. As a result the growth in gross profit forthright to the bottom line. Within Northern Europe Manpower represents 74% of revenue, Experis 22% and ManpowerGroup Solutions 4%. During the quarter each of the brand offerings saw improving revenue trends from the prior quarter with Manpower up 3%, Experis up 9% and ManpowerGroup Solutions up 2%. Strong profit growth at Manpower and Experis contributed to the overall segment profit growth. We also have a look at the main countries comprising Northern Europe. In the UK which represents 33% in Northern Europe, revenue accelerated nicely to 9% in constant currency. On an average daily basis revenues were up 6% with significant improvement from the 2% growth we saw in the fourth quarter last year. We continue to be selective on new large account opportunities within the Manpower brand, they’ve also seen improving demand within Experis. Brook Street also had a strong quarter on the SMB side and our UK permanent recruitment business accelerated to 26% organically. In the Nordics which represents 21% of Northern Europe revenue growth improved 1% in constant currency. We’ve witnessed the Swedish market making its way solely back to growth of our priced competition from some of these smaller players in the market persists. Our German market which represents 12% in Northern Europe achieved growth of 7% in constant currency and 6% on an average daily basis. We continue to see improving opportunities in the German market on both the temporary and permanent recruitment side. Revenue growth also improved in the Netherlands which reported an increase of 4% over the prior year compared to a decline of 1% in the fourth quarter of last year. The Netherlands profitability was strong in the quarter with solid gross profit performance and SG&A cost reductions. In Belgium revenues were up by 5% in constant currency. This was partly due to business mix as demand for services from our logistics clients started the year off slow and because we stepped away from a few large key accounts due to aggressive pricing. However on Asia-Pacific, Middle East came in at $574 million which is a decline of 1% in constant currency but much better than the 4% to 6% decline we were forecasting, particularly as a result of better than expected revenue performance in Japan and Australia. Asia-Pacific, Middle East OUP improved by 31% in constant currency, excluding prior year restructuring items to $20 million. OUP margin expanded 80 basis points to 3.5%. This good profit performance was a result of improving growth in permanent recruitment and solutions as well as a reduction in SG&A expense. Our Japan operation represents 37% of Asia-Pacific Middle East segment and had a revenue decline of 2% in constant currency. On an average daily basis revenue was off 6% from prior year which is a slight improvement from last quarter. As you may recall from last quarter our Japan revenue growth is impacted by a large contract with a client taking the business in-house. Excluding the impact of this contract, revenues were up slightly in constant currency. Although the Japan market remains sluggish we are seeing good opportunities especially in the areas of higher value solutions and permanent recruitment. Our ManpowerGroup Solutions business in Japan was up 9% in quarter and our permanent recruitment was up 24% in constant currency. Australia business was down 1% in constant currency or 4% on an average daily basis. After several difficult quarters the Australian markets seems to have bottomed. However, it still remains difficult. While top line contracted profitability was up due to strong cost recalibration and good growth in our OPU business. Revenue growth from other countries in Asia-Pacific, Middle East was mixed with very strong growth in India up 22%, Korea up 16% and Taiwan up 11% offset by revenue declines in China and a few other markets. Revenue declines in China are primarily attributable to the change in staffing regulations in July of last year which placed a number of restrictions on the market including the amount of temporary workers our clients can use and length of assignment. Despite this top line contraction we were able to improve profitability in China through growth in our permanent recruitment business as well as SG&A cost reduction. Revenue of Right Management came in at $73 million, a decline of 4% in U.S. dollars and constant currency. Within Right Management 70% of our revenue is generated from outplacement services which have software demand in times of economic recovery. The other 30% of the business represents talent management. We expect to see improving demand through our talent management offerings as markets improve and companies become more confident in investing in coaching and people development. Despite the top line contraction Right was able to deliver OUP of $8 million, an increase of 41% in constant currency and an OUP margin of 11.3%. Our cost recalibration efforts and our improved delivery solutions have had a dramatic impact on Right’s productivity. Now let’s take a look at our cash flow and balance sheet. Free cash flow defined as cash from operations less capital expenditures was the use of $24 million in the quarter compared to a use of $75 million a year ago. Historically, the first quarter is a weak quarter from a cash flow standpoint as receivables start to seasonally ramp up in March and many liabilities are settled including bonuses. Favorably impacting free cash flow in the quarter was an improvement in our accounts receivable, day sales outstanding by one day compared to the prior year and a reduction of capital expenditures from $13 million last year to $8 million this year. During the quarter we used $9 million of cash related to acquisitions and $17 million for common stock share repurchases. As of the end of the quarter, we had 7.8 million shares of common stock authorized and available for repurchase. Our balance sheet at quarter end remained quite strong with little change in the capital structure since year end. Our cash balance at year end was $697 million and total debt was $530 million bringing our net cash position to $167 million. Our total debt to total capitalization was stable with the prior year and at 15%. Since year end there have been no significant changes to our credit facilities. We have $350 million euro note outstanding that comes due in June of 2018. We have a $600 million revolving credit agreement that comes due in October of 2018. As of quarter end there were no borrowings outstanding under our revolving credit agreement. Lastly, I would like to discuss our outlook for the second quarter. As we have been discussing revenue trends have been slowly improving across many of our geographies. Our revenue guidance anticipates that we will see a continuation in improving revenue trends and a modest acceleration from what we saw in the first quarter and in the month of March for that matter. We are forecasting constant currency revenue growth to range between 2% and 4% in the quarter. It is important to consider the number of billable days when reviewing revenue trends in the first quarter to the second quarter this year. Billing days helped the first quarter reported revenue by about 1% and hurts the second quarter reported revenue by about 0.5%. In other words, at the midpoint of our guidance, 3% constant currency revenue growth is actually 3.5% on an average daily basis. This compares to average daily revenue growth of 2% in the first quarter. So while we are forecasting reported revenue growth in the second quarter to be similar to the first quarter, you can see that average daily revenue represents a meaningful step up in growth from the first quarter. Within the operating segments, I expect low to mid single-digit constant currency growth in the Americas and Southern Europe and Northern Europe and forecasting Asia-Pacific, Middle East to be about flat and right management to decline slightly. Our gross profit margin should range between 16.7% and 16.9%, a slight improvement over the prior year at the midpoint. We expect expenses to continue to be well-controlled, which should drive operating profit margin expansion. The operating profit margin should fall in the range of 3.4% to 3.6%. I am estimating an income tax rate of 39%, which should result in earnings per share from $1.26 to $1.34. Foreign currencies are estimated to favorably impact revenue by about 2% and my earnings per share guidance assumes a favorable impact from currency of $0.02 per share. With that, I would like to turn the call over to Jonas for further comments.
Jonas Prising - President and Chief Executive Officer: Thanks Mike. As Jeff stated earlier in the call, we are pleased to see that our efforts on simplification and driving profitable growth are showing good progress. Our simplification focus has enabled us to stay very focused and disciplined on where we deploy our resources and also accelerate our progress on both technology and delivery models. We have used some of the freed up resources to invest in sales and recruitment efforts and we will continue with this disciplined approach to profitable growth balancing pricing pressures with top line growth. One of those areas of investment is our sales teams, global as well as country base as our major clients continue to show an appetite across a range of offerings and especially our larger clients. I just came back from the trip to China and Japan I was very pleased to hear how our companies are looking to us for our global capability deployed locally and how solutions and offerings are deployed across geographies with the same client base and in some cases leapfrogging into emerging markets. I hear this as I speak with clients in almost all geographies as they are looking for strategic agility, which is a way of saying that they want to be able to make organizational changes, so they can respond to market changes more quickly and are looking for us to do this not only through our traditional staff augmentation offerings, but also our solutions offerings such as RPO, MSP and TBO. And this is really exciting to see and should bode well for structural growth in many markets. As I look at the U.S. market, we could see continued good stable demand for almost all our service offerings. After some rough weather at the beginning of the year, we have seen demand and volumes stabilize and improve across most of our brands. Having said that, we are still not satisfied with our Experis growth. This is particularly true on the IT side as we have seen improved growth in finance and engineering. And to that end, we have increased our investments of IT recruiters and will continue to feathering resources we need to better meet the good order flow we see from our clients. Europe is continuing to recover slowly and we are starting to see moderately improving momentum in a number of markets that are previously been struggling. France, Italy, and Spain are all starting to improve joining most of the Northern European markets, who have already seen a modest recovery. The important French market has shown some signs of modest growth recently. And our view is that we will see continued improvement although at a slow rate. Staffing services will have a disproportionate portion of initial employment growth. So when employment starts to occur in a more significant way in France, we could see our growth at a more sustained rate when that occurs. France is currently debating the introduction of the responsibility pact, which aims to both lower labor cost and overall reduce government spending to the tune of €50 billion. The new Prime Minister, Valls has now made his program known and these ideas will be debated in the coming months and we will see if and how those proposed changes have an effect on our business in France. It seems clear that CICE is a building block which is well aligned with the overall objective of reducing labor costs and in all of the legislative proposals we have seen so far CICE remains an important component which is positive from our as well as the French labor market perspective. In number of markets Italy, Japan, Spain to name a few have initiated reviews of their labor markets and in some cases the law specifically governing our industry and as those make their way to the respective processes we will continue to monitor them and respond to any changes that may impact our operating environment in those countries. As you can tell from my comments our assessment is that the market will continue to improve gradually. We are pleased to see that our approach in terms of simplification on pricing discipline has worked very well and at the same time we know we still have more work to do on the growth side to ensure that we take advantage of all opportunities for profitable growth and that’s something that we are very focused on. Over to you Jeff.
Jeff Joerres - Chairman: Thanks Jonas. We are proud of what we were able to accomplish in the first quarter, it was a solid performance in many of the geographies and we still only have cupid revenue growth considering what we have seen in past recoveries. This gives us a solid indication that we are on the right trajectory and that as we have said in the past this is a different kind of recovery, but a recovery that we believe has potential of yielding a longer protracted slower growth environment but yet growth that we will be able to leverage based on our recalibration and simplification efforts. As commented on we are experiencing an uptick in revenue in many of our important geographies and business lines with the U.S., the UK and Italy being the most notable. While we have worked hard balancing pricing and revenue growth, we are not fully satisfied with our growth in some of our geographies. This is where we will spend some – a lot of time and focus as Jonas has spoke about. Our pipeline is solid in our lines of business and geographies and we are working hard at maintaining our pricing and gross margins which is important as we move into this next phase of recovery. There have been key and exceptional performances on our revenue side led by Spain and India with over a 20% increase in revenue followed by Brazil up 15% and the UK up 9%. These countries also had extraordinary increases in profit performance along with France the U.S., Germany and Holland. We are experiencing a greater interest in the solutions business from several of our key clients as they are ensuring that we are focusing on the proper areas to help them in their business. This gives us greater opportunity to assist them in helping them win while at the same time growing our solutions business based on our first to market in many of these areas and our larger scale performances in the solutions business. The transition of CEO is going extraordinary well as you would expect with Jonas being in the business now for over 15 years and with he and the team being instrumental in constructing the current strategy, so as a result there are no major upheavals or surprises and the company and management team across the group are staying focused on the client and the market which is the way we absolutely wanted to be. I would like to thank so many of the investors for supporting me over the last several years as well as the sell side analysts. This has been an incredible ride and I am very proud of what we have been able to accomplish and even more excited about what the future holds for us. With that I would like to open it up for questions.
Operator: Thank you. (Operator Instructions) The first question today is from Hamzah Mazari with Credit Suisse. Your line is open.
Hamzah Mazari - Credit Suisse: Good morning. Thank you. You had previously mentioned that there is some more work to do on the delivery side of your business as well as on technology first the cost simplification plan maybe give us some color as to how early you are in that process, what’s currently been done, what’s yet to come that could be upside for the business?
Jeff Joerres: Alright it’s a good question we had had for what we call buckets in the recalibration and simplification and clearly technology and delivery were a little further behind, but not equal at all. Technology is nearly done. We continue to work on it. Now we are looking at driving up new applications trying to really get some of the efficiency and productivity. And we have stated in the past that we are about 10% if you will through the delivery. We want to be very cautious in this to make sure that it maintains the revenue and maintains the quality of service that we have. So I think you would be seeing it rolling out through this multi-channel strategy of delivery of both candidates as well as overall service over a longer period of time. So, we clearly think of it as the large upside, but it’s not going to come in big chunk. So, it’s not like next quarter is a big chunk, we think it’s over the next 18 to 24 months is where you would see the impact of that.
Hamzah Mazari - Credit Suisse: Okay. Okay, great. And just a follow-up, could you give us a sense of what revenue growth would have looked like if you had not been so price disciplined? So how much business are you walking away from do you think? And maybe give investors a sense as to the business that you are walking away from, how much lower margin is it relative to what you are currently doing? Thank you.
Jeff Joerres: Sure. If we talk to our sales people, we are walking away from billions of dollars. In a more realistic fashion, it’s less than that of course. And the fact is it’s a competitive out there and some of these are relatively easy, because they might come in at 3%, 4% GP with 90-day payment terms. So, we have done some calculations and it would clearly put us in the U.S. market on the Manpower side. It would put us right in line or above market and we feel pretty good about that, because you can see the flow through of some better profitability. The multi-channel strategy is also important for us, because what we really want to drive through that is to be able to maybe participate in some lower GP business with a much less lower cost structure, but we are still working on that. So, I think it would be unfair to quantify, because some of it is too anecdotal, but when we do inspect what we have passed on, it feels the right thing to do. And we are not passing on so much that we feel is that we are at all becoming irrelevant in the marketplace far from what I think our stature of who we are is actually going up as a result of it.
Hamzah Mazari - Credit Suisse: Great, I appreciate it. I will turn it over. Thanks.
Jeff Joerres: Okay, next question.
Operator: The next question is from Paul Ginocchio with Deutsche Bank.
Paul Ginocchio - Deutsche Bank: Yes, thanks for taking my question. I am sorry about missing it, did you give an exit growth rate for the first quarter or did you comment on what March was on an average daily basis? And second, can we think you have seen a slight increase in the slope of the revenue acceleration recently? Thanks.
Jeff Joerres: Yes, Paul. We didn’t give a specific number with respect to March. So, on an average daily basis, the quarter overall was up 2% in constant currency, 3% on a reported basis. January and February looked about the same in terms of year-on-year growth and then March accelerated to about 2.7% growth on year-on-year basis. So when you look ahead then to what I am forecasting for the second quarter, the midpoint of the growth is 3.5% on a constant currency average daily basis. And so certainly I am anticipating that we are going to see some improved growth as we get through the second quarter. The first part of April looks like things continue to move positively and April was always a little bit tricky when you have Easter in there. And so we are not seeing a lot of the data so far in the second quarter, but certainly when you look back at the trends overall for the last couple of quarters, we have seen some very slow progression, but progression and we anticipate that to continue into the second quarter.
Paul Ginocchio - Deutsche Bank: Yes. And just when do you expect I guess the revenue impact is something that we could see from potentially using these new contracts, I think the CCD or – CCD contracts or the longer term contracts that we got with temps and companies in France?
Jeff Joerres: Well, it’s still early on as they are going through this form of compact if you will. So, there is a lot to try to bring down those labor costs. So, we would see that between what we are able to do with CICE and what they are able to do with some of these longer term contracts, no doubt it is about driving down the labor costs. So we think it will have some impact overall on the market, very small on us, but probably won’t have much of an impact in the next few quarters.
Paul Ginocchio - Deutsche Bank: Thank you.
Jeff Joerres: Alright.
Operator: Thank you. The next question is from Sara Gubins with Bank of America.
Sara Gubins - Bank of America: Hi, thanks. Good morning. You talked about $40 million in additional savings from prior cost actions coming through in 2014, I am wondering if most of that came in the first quarter or if it should be more evenly spread out throughout the year?
Jeff Joerres: Yes, Sara. It’s – I would say, it’s more first half loaded as you might – as you probably would guess and a little bit more in the first quarter than the second quarter. So if you take that $40 million and break it up just probably around about $20 million or so of that comes in the first quarter, second quarter will be slightly less and then it just feathers out the rest of the way in the second half of the year.
Sara Gubins - Bank of America: Okay, great. And then could you talk through what, what’s driving the expectation of gross margin expansion in the second quarter, nice to see, but different from what we’ve been seeing. So some more details on that would be helpful?
Mike Van Handel: I think when you look at – I think one of the things that helped the first quarter was permanent recruitment and permanent recruitment was up 9%. So we’re starting to see some better traction on the permanent recruitment side which is kind of anticipated as the markets start to move forward, there is a little bit more hiring going on. But I think at this stage what you see I think employees are becoming more confident than where they are and more confident in making changes. So maybe it’s more churn in the market than new job growth per se but we’re clearly seeing a little bit more activity certainly on the RPO side which did very well in the quarter. We planted a lot of seeds and grown a lot of contracts over the last several quarters. We’re starting to see those blossom a little bit, there is just opening up, there is still a long way to go yet, but we’re starting to see those come through. So I think as we look at opportunities one that we’ve talked about is been in permanent recruitment and still today - if you look at where we closed out last year we’re still almost 20% down on our 2008 peak in current. And we’ve done a lot really to build that capability up in the last several years including what we’ve done on the RPO side. So we see that as a good opportunity. That’s going to be a contributor to second quarter gross margins overall.
Sara Gubins - Bank of America: Great. And then just last question, as I think about a cycle normally we’d expect volumes to pickup and then pricing and perm. It sounds like pricing is still pretty challenged in the market and that you’re being pretty careful about what business you take because of it. Can you think that as we see improving volume trends, pricing should ease and maybe we’ll even get some pricing power or is there some reason it might be different this time?
Jeff Joerres: I think the overall will clearly happen. It’s just that there is more nuances within the marketplace. So I think that the lower end transactional staffing is most likely going to remain competitive whereas our Experis business we typically would see a 12 to 18 month lag where we start to get a little bit more pricing pressure because the – any kind of slack in the labor market is picked up. So the dynamic is there. Our sense would be you’ll see it in the macro numbers, it will be a little while but it’s not going to be kind of all bodes our reason because of this, because there are still some alternative ways of doing some very low end transactional work and we don’t see pricing being able to add much pricing power if any pricing power in that.
Sara Gubins - Bank of America: Thank you.
Jeff Joerres: Next question please. Thanks, Sara.
Operator: The next question is from Tim McHugh with William Blair.
Unidentified Analyst: Hey good morning. It’s (Steven) gentlemen for Tim. First you had mentioned in your commentary some strong pricing discipline in France. So I just want to ask have you seen any notable change in pricing trends there either from competitors or from the impact of the credit?
Jeff Joerres: If you look at it in general where kind of pricing as usual if you will were on the large accounts. It’s very much of a pro forma detailed pricing environment taking into lots of factors on the small side of the market meaning business side of the market, it remains competitive. We’re maintaining the discipline because – but we want to be able to do particularly if you’re looking at CICE we want to be able to reduce labor cost across the French into our part within the French society and make sure that we’re doing some of the things to enhance the labor market. But for the most part it’s not – this is going crazy price competitive, I’ve been doing this for 15 years every single quarter, its price competitive in France and I think it’s about the same right now. I don’t know if you – Jonas if you have anything to add to that.
Jonas Prising: No, I think it’s exactly like you say Jeff. It’s a very competitive environment in a market that’s not really showing any substantive employment growth and as such it is competitive today and it will stay competitive and we’re very disciplined in our approach and we – just as we do in all geographies we look very carefully at the trade-off between profitability and top-line growth. And I think there is no reason to believe that will change anytime soon. And this as you mentioned earlier to your answer, and your answer to Sara verifying segments, well this will never change. And it will always be competitive and our discipline there will be extremely important because we can increase our top line growth, but we also know that the margins to do that would drop, be lower level that we think would not be a beneficial to us.
Jeff Joerres: Okay, thanks. Thank you.
Unidentified Analyst: That’s helpful. And then one more if I could just looking at the UK deceleration there was really encouraging and I was wondering how did the I know you talked about the overall company the growth trends by quarter or by month but how did the growth in the UK kind of trend throughout the quarter and looking into the beginning of the second quarter?
Jeff Joerres: I would say we saw a similar pattern where things just gradually improved as we went through the quarter. So overall the backdrop in the UK I think is improving and we saw some good demand on the Experis professional side and we saw that improved. We saw as I mentioned in my prepared comments we saw perm pickup nicely to north of 20% growth on the perm side. So, on the Manpower Grand side, we are seeing some good opportunities but still similar to other comments it is price competitive. There is we have got to be selective in the type of business we are doing in the UK and we are being selective. So but I would say the market certainly is starting to see a little bit of traction in moving in the right way.
Unidentified Analyst: Alright, great. Thanks.
Jeff Joerres: Thank you.
Jonas Prising: Next question.
Operator: Your next question is from Kevin McVeigh with Macquarie.
Kevin McVeigh - Macquarie: Great, thanks. And congratulations to Jeff and Jonas, the French gross margins are great it’s kind of the highest I have seen in quite a while. My question we think about that kind of progression and nothing too specific on the quarter but just directionally kind of Q2 through Q4?
Jeff Joerres: Yes, I think when you look at from a gross margin standpoint you end up things moving a little bit as you get into the summer months in France typically as we end up doing some larger type projects using students and that type of things that the mix changed a little bit you get the summer holidays so there is always a little bit of a let’s say as we get into the summer months but then from a operating margin standpoint of course volume picks up and we are able to leverage and scale a little bit. So what I would expect is that we are going to see as we get certainly as we go from here to the third quarter improving operating margins. And in the fourth quarter often times in France tails off just a little bit from where the third quarter was and it’s really just is really what you see there is the leverage coming through of the fixed costs as volume is changing overall.
Jonas Prising: And I would just add that the only wildcard in there which we really haven’t seen a great effect yet and to Jonas’ comments it’s about little bit of the health of the hiring market is what would perm do for us in France. And right now we haven’t really seen it add enough to get excited about and may not throughout the year, but as we monitor whether be PMI or some of the other data, that would be the wildcard to see if that wouldn’t move at all.
Jeff Joerres: Yes, I think it’s a good point I think the French market from a perm perspective I think has a lot of opportunity just looking at it historically I think in the environment that they are in when demand picks up a little bit I think that’s a market that certainly should come back.
Kevin McVeigh - Macquarie: Got it and then in terms of ACA like in the U.S. are you seeing any impact yet as people are kind of thinking about the healthcare impact on some of their workers and flexibility overall?
Jeff Joerres: I am going to let Jonas take that one.
Jonas Prising: Okay, certainly they are really and as I look at our client base and I talked to our teams in the field it’s very – it’s really we are not seeing any effect of the affordable healthcare act at this point in terms of employer behavior besides some anecdotal in some, if any smaller employers may be shifting their preferences more towards part-time. But I think that’s a general reflection of some of the rules have changed. We are still waiting for some of the finalization is 30 hours, 40 hours at its state – the way it is and the fact that the penalties for employers are becoming more postponed. So far in summary we have not really seen any material changes in our client preferences and the small amount of client conversations that I have had that would indicate that they would becomes and they are mostly coming from smaller employers. And as we have stated in previous calls our view would be this – the change should be a net positive. However, the dimension of that net positive impact is yet to be determined it might have a slightly beneficial effects or a little bit bigger effects, but so far we are not seeing any changes in client behavior from that perspective, lots of questions, but in terms of numbers, not so much.
Kevin McVeigh - Macquarie: Understood. Thank you.
Jeff Joerres: Next question.
Operator: The next question is from Andrew Steinerman with JPMC.
Andrew Steinerman - JPMC: Hi. You mentioned adding and investing in sales, could you give us a sense of where we are in that process, that I remember earlier, our comment about adding and recruiting, I think that might have been Experis centric, but just why don’t you just pull together comments on adding in sales and recruitment in terms of internal personnel at Manpower?
Jonas Prising: Yes, you are absolutely right, Andrew. My first question, my first comment on the recruiter side was specifically around the U.S. and in the IT side, where we are seeing continued good demand and we are having some capacity there, because we know we have some work to do and we are hopeful that those additions to capacity will start to hopefully that they will start to paying off from the coming quarters as you know it takes a bit of time to get recruited productivity up. As it relates to the sales side, the one aspect is as I mentioned in my comments earlier of traveling and talking to clients, we are seeing an increased appetite for global relationships, more larger scale solution projects that we would like to be able to pursue. So we are adding some capabilities on our global side as clients are really looking to build relationships across regions as well as global relationships. So that’s one. And then as you would expect as demand starts to improve, we are adding – we are feathering sales resources in the geographies where we are seeing employer confidence improve, market stabilize and where we have opportunities. So then we feather those in at a local or a regional level.
Andrew Steinerman - JPMC: Okay. And so when you pull that all together, you do think overall over the intermediate term that Manpower’s revenue growth will be sort of at least added if not above market given the global opportunities that you are talking about kind of maybe perhaps in balance with the discipline that you are also talking about, right?
Jonas Prising: Yes, I think what we are clearly going to pursue the opportunities that the market presents to us whilst applying all price discipline. So as Jeff mentioned earlier in the comments on the overall, we are very clear that we get all the opportunities that are available to us and then we make some informed choices on which ones to pursue and which ones not to pursue. And as part of that, we are adding the resources to make sure that we have the capacity to do so.
Jeff Joerres: Yes. We know we have been off in market share, we track that as closely as anyone else, but it’s not to the point where we are disturbed. We would like to be above market share, but there is a certain trade-off when you look at the profitability. So we look at it between our pipeline by business line, by geography. We look at where we are situated in each of those countries and feel that based on the resourcing and what we are doing in other areas that yes, we should be a market, does it take one quarter or two, some of that is a little bit hard to determine, but if we can keep that price discipline, keep that flow through and get it, we know that, that rings the double bell and we are interested in that. It’s just it’s going to require some work.
Andrew Steinerman - JPMC: That’s productive. Thank you.
Jeff Joerres: Alright.
Operator: Thank you. The next question is from Mark Marcon with Robert W. Baird.
Mark Marcon - Robert W. Baird: Good morning and let me add my congratulations to both Jeff and Jonas. I wanted to ask a little bit more about, for instance, specifically the CICE, I know it’s hard to breakout, but wondering if you could give a little bit more commentary with regards to the contribution and particularly how much of incremental step up that is in effect in ‘14 relative to ‘13 that we were able to keep?
Jeff Joerres: So, I will take a run at that. Clearly, there is as well know, there is the difference between the ‘14 and ‘13 calculation, but the ‘13 calculation wasn’t the purest calculation either, because you had that additional month in there and a couple of other things. So really we look at it right now from a CICE that we are in run mode. This is how we are running after it. We got regular pricing disciplines. We want to make sure we are enhancing and working with the labor market. And it’s encouraging that we given the backdrop see this as being around for quite some time based on what the current administration is doing. And we are in negotiations. We continue to be in negotiations to try to balance all of that in the marketplace. So our – anything between the last years and this years we’re able to keep some of that, in some cases yes and some cases not as much, in some cases it could be delayed. So it’s right now almost like a regular discussion about pricing and therefore we’re becoming less – it’s less easy to say wow what is that flow-through all the way down because it’s so ingrained and how the market is going. As you can see from the GP numbers and some of the profitability we’ve done a nice job of maintaining what we think is appropriate.
Mike Van Handel: Remember Mark as well part of the intent with CICE is the investment side which we’re investing in workforce development and workforce programs as well. So there are a number of factors so there might be some things on the margin and the pricing side that are helpful, there are things on the other side, on the SG&A side that are coming through and so you’ve got a number of factors in there. When you look at the quarter certainly France had a very strong quarter, operating margin did expand nicely, some of that was coming off of the GP line but some of that was coming of SG&A leverage as well because one of the things we saw was even though growth was fairly modest at about 2% in constant currency they were able to leverage that and they’ve done some nice work around efficiency and driving productivity in that market as well.
Mark Marcon - Robert W. Baird: Great. And then just as a follow-up to that. It sounds like you still have the capacity to continue to experience significant leverage within France. And it sounds like we’re just at the inflection point in terms of things finally starting to pickup over there. Would that be close to the way that you would look at things?
Jeff Joerres: We would like to think so. So it’s hard to – as I am sure you looked at every data possible you really find that inflection point. We’re seeing some nice continued pickup the PMI data across the Eurozone was – had some good results to it. And you can see that based on what we’ve done to be more efficient and productive. What we’ve done with pricing, how we’re doing with revenue, there is some really, really strong flow-through in France. So if we could get into a mid single digit growth yes it’s going to be very exciting. The challenge is when and what gets you there. And there needs to be some clearing; there is a lot of confusion over there. You’ve got a President to a 18% approval ratings, you’ve got a lot of discussions that are coming up in Parliament. So that’s holding back kind of confidence, both business confidence as well as consumer confidence. If that starts to fade a bit and break yes that’s – it’s a good leverage story, but right now we’re keeping our eyes focused on the hearing now.
Mark Marcon - Robert W. Baird: Great. And then just as it relates to the policy discussions over there. It sounds like you’re fairly confident that the CICE is going to remain in place and it’s in a similar structure for the foreseeable future?
Jeff Joerres: That’s correct. I mean if you read closely it’s what else can we add to it.
Mark Marcon - Robert W. Baird: Right.
Jeff Joerres: Not what do we take away. So we’re – that’s how we’re looking at it right now.
Mark Marcon - Robert W. Baird: Fantastic. And then just as it relates to the U.S. and specifically Experis and the addition of the recruiters, is that your anticipation that we may – you started doing that last quarter or talking about it last quarter? Would you anticipate that by the end of the third quarter we may end up starting to see some impact from that or do you think it will take longer?
Jeff Joerres: No, I think you will see some impact from that, how much is yet to see, but we can see some of that impact happening in some of the Manpower side, we’ll see on the Experis side. So.
Mark Marcon - Robert W. Baird: Great.
Jonas Prising: Okay, next question.
Operator: The next question is from Jeff Silber with BMO Capital Markets. Mr. Silber please check your mute.
Jeff Joerres: Maybe we answered Jeff’s question.
Operator: We’ll move on to the next question. I have Randle Reece from Avondale. Your line is open.
Randle Reece - Avondale: Good morning. When I speak to businesses in Europe there are an increasing number of people talking about what’s going on in the Ukraine. I was wondering if you believe that has affected business sentiment at all or could in the near future?
Jeff Joerres: It clearly has. It’s – it could be a large impending event, already has caused a lot of consternation, everyone there will be watching very closely as to what’s happening with the flow of Petro particularly German operations and some of the others more dependent upon it. I would say though that the world has gotten used to some pretty severe shocks and are more in the mode of let’s see if this is really severe or not, because we have had a lot of those across the world. So it is creating a hesitation and that hesitation right now is not dramatic, but it’s there, but we need to continue to watch that, because if it ramps up and turns into an energy fight, then I think it does have a little bit more of an impact, but right now, it’s more of a hesitation impact as opposed to a real serious GDP impact.
Randle Reece - Avondale: And Jeff, I hope that the rest of your life and business starting to go well, I don’t want to let you get away without this question. I was wondering if you could describe in the major markets around the world, how you believe labor regulation and flexibility have changed from the time you started as CEO of Manpower to now?
Jeff Joerres: It’s a provocative question. I would say that to generalize it which I think gives the best sense of what we are always is that, the labor market has become much more sophisticated and much more knowledgeable. And the understanding of what we can do in helping an agility, we were a non-part of the discussion 15 years ago when I started as CEO. We are now with the labor ministers. We are with the union officials talking about how to do this. So I think that the data driven part of the labor market is critical. And this idea of a company having multiple work models is absolutely real and that was not the case 15 years ago at all. It was really kind of casual, temporary help with a little strategic element to it. And now, definitely in 60%, 70% of our clients, it’s a strategy. It’s part of the decision and how it goes and that means we have had to step up our game, whether it be the solutions business or offering something different. So it’s amazing, because when you are in the middle of it, each quarter doesn’t seem to change much. And then you look back and say 5 years ago, 10 and 15, and it’s been pretty incredible to see the sophisticated involved in this, which I think has also helped our competitors and us just become better and better at this, which I think bodes well for the future.
Randle Reece - Avondale: I see corporate HR departments, the people responsible for recruiting, those numbers are probably smaller now than they were before the great recession, they are dealing with more employees, the hiring volumes haven’t recovered to what they were historically. It makes one wonder what’s going to happen if and when economic activity improves enough that they are forced to hire a greater rate. And there you are sitting there having built up an RPO business and permanent placement business, it seems like your positioning has improved and I applaud you for that?
Jeff Joerres: It appear a relatively soft quarter when you think of recoveries and over 13% of our GP coming from permanent recruitment and RPO being a big part of that. So it is exciting and Mike mentioned it, I mean we planted 20 to 30 seeds, if you will, new RPO accounts every quarter for the last 2, 2.5 years. They are now starting to produce, because we are their HR department when it comes to recruiting and hiring. And that you almost couldn’t have imagined that 15 years ago when today it’s how do we double that business, how do you triple it, you can really get your mind pretty excited about that. So I do appreciate it. It’s been a fantastic 15 years. And I say with great confidence that as we look into the future and see how things are setup from a secular trend, from how businesses are looking at our organization, there is no reason to think that what we saw before looks pretty boring and slow compared to what we will see in the future for this organization. So it’s exciting.
Randle Reece - Avondale: Thank you very much.
Jeff Joerres - Chairman: Alright, thanks everyone. We appreciate it and talk to you soon.
Operator: Thank you. This does conclude today’s conference. Thank you for joining. You may disconnect at this time.